Operator: Ladies and gentlemen, good day and welcome to the Infosys earnings conference call. As a reminder, all participant lines will be in listen-only mode and there will be an opportunity for you to ask questions after the presentation concludes. Should you need assistance during the conference call, please signal an operator by pressing star then zero on your touchtone phone. Please note that this conference is being recorded. I now hand the conference over to Mr. Sandeep Mahindroo. Thank you, and over to you, sir.
Sandeep Mahindroo: Hello everyone and welcome to Infosys’ earnings call for Q2 FY24. Joining us on this call is CEO and MD, Mr. Salil Parekh, CFO Mr. Nilanjan Roy, and other members of the leadership team. We’ll start the call with some remarks on the performance of the company for Q2 followed by comments from Salil and Nilanjan, subsequent to which we’ll open up the call for questions. Kindly note that anything we say with reference to our outlook for the future is a forward-looking statement which must be read in conjunction that the risks that the company faces. A full statement explanation of these risks is available in the filings with the SEC, which can be found on www.sec.gov. I’d now like to pass it on to Salil.
Salil Parekh: Thanks Sandeep. Good afternoon, good evening, good morning to everyone on the call. Thank you very much for joining us.  We’ve had a strong quarter in Q2. Our growth was 2.3% quarter-on-quarter and 2.5% year-on-year in constant currency. Our operating margin was at 21.2%. Large deals was at the highest ever for us at $7.7 billion and 48% of this was net new. Our Q2 large deals include four mega deals. It does not include the MOU we signed and announced for $1.5 billion.  We see that with our large deal wins in the past two quarters, we are winning market share in the area of cost efficiency, automation, and AI. This is a testament to our strong position as partner of choice for clients. With a clear focus on client relevance, as the economic environment changed, we rapidly pivoted from delivering transformation projects to also delivering productivity benefits and cost savings at scale. These large and mega deal wins help us to build a strong foundation for our future. We continue to see an overall environment where digital transformation programs and discretionary spends are low and decision making is slow. This is impacting our volumes. The adoption of Topaz, our generative AI capability set, is helping us deliver more value and to increase market share. We’re currently working on over 90 generative AI programs. Our work is with proprietary and open source large language models.  We continue to make investments in generative AI as we look to help our clients navigate the way forward with deep capability. We’ve trained 57,000 employees in generative AI. We’ve announced the launch of our compensation review program for all employees effective November 1.  Our margin expansion program is being driven comprehensively across the company. We have five areas of focus: pyramid, automation, critical portfolio, indirect cost and value, and we have 20 specific tracks within these five areas. We are delighted to welcome Rafael Nadal and Iga Świątek as our brand ambassadors. We are thrilled to be recognized on Kantar’s list of most valuable global brands at number 64. With the continued reduction in digital transformation programs and discretionary spend and the ramp-up of our large and mega deals towards the end of our financial year, we are changing our growth guidance for this financial year to be growth of 1% to 2.5% in constant currency. Our operating margin guidance for the financial year remains unchanged at 20% to 22%. With that, let me hand it over to Nilanjan.
Nilanjan Roy: Thanks Salil. Good evening everyone and thank you for joining the call.  Q2 revenue growth was 2.5% year-on-year in constant currency. Sequentially, revenues grew by 2.3% in constant currency and 2.2% in dollar terms. While we saw continued softness in underlying volumes, revenue for the quarter was supported by stronger growth in the balanced portfolio and improved realizations from one-timers.  H1 revenue growth was 3.3% in constant currency terms and operating margins were at 21%, which is the midpoint of our guidance range. A highlight for Q2 was the large deal TCB of $7.7 billion, of which a sizeable 48% was net new; consequently, our H1 large deal TCB is at $10 billion, which has already exceeded the total large deal signings for FY23. I will talk about this in more detail later. As announced in the previous quarter, we have launched Project Maximus, which is a margin improvement plan across five pillars and over 20 tracks. This program has been well received across the organization and we have been able to identify certain new opportunities across the pillars. We have also seen some early benefits in some areas, like utilization and optimization of overhead. We remain confident that this program will create a more meaningful impact on operating margins in the future. Operating margins for Q2 were 21.2%, an increase of 40 BPs sequentially, bringing H1 margins to 21%. The increase in operating margin sequentially was due to 0.5% from cost optimization benefits comprising of high utilization [indiscernible], etc., 0.3% from revenue one-timers, 0.1% from [indiscernible] depreciation offset by a 0.5% increase due to third party costs [indiscernible] and other items. Client metrics remain strong with the number of $50 million clients increasing to 80 and $100 million clients at 29, reflecting our strong ability to manage top clients while providing them multiple relevant services. We are rolling out a [indiscernible] compensation hike for employees effective November 1. Headcount at the end of the quarter stood at 328,000 employees, a decline of 2.2% from the previous quarter. Our focus on improving operating efficiency has resulted in improvements in utilization, excluding trainees, from 81.1% to 81.8%, which we believe has room for further optimization. LTM attrition for Q2 reduced further to 14.6 while quarterly annualized attrition was flattish sequentially.  Free cash flow for the quarter was robust at $670 million and the conversion to net profit for Q2 was robust at 89%. Our unbilled revenues dropped for the second consecutive quarter and consequently the third party led to an increase in DSO by four days sequentially to 67. Consolidated cash and equivalents stood at $4.2 billion at the end of the quarter. The Board announced an interim dividend of Rs18, an increase of 9.1% compared to last year. EPS grew by 1.7% in dollar terms and 4.6% in rupee terms on a year-on-year basis. Yield on cash balances was 6.7% in Q2. ROE was 20.9%, an improvement of over 8% under the current capital allocation policy started in FY20.  We had an excellent outcome in our large deal wins thanks to our strong client relationships and the relevance of our service offerings. We signed 21 large deals in Q2, including four mega deals. As mentioned, the total large deal TCB was $7.7 billion with a strong 48% net new. We signed six large deals in retail, five in manufacturing, four in telecom, three in FS, two in life sciences, and one in new [indiscernible] verticals. Region-wide, we signed 12 in America, eight in Europe, and one in RoW. Coming to vertical segment performance, the outlook continues to remain uncertain in the financial services sector with slowdown in areas like mortgages, asset management, investment banking, cards and payments. Q2 growth was impacted by spend reduction in some large clients which was partially offset by ramp-ups of large deals wins in areas like cost optimization and vendor consolidation. We remain cautiously optimistic about the medium term outlook due to the movement to cloud, led by increased need for real time insights and analytics. Growth challenges in the communication sector continued, coupled with increasing opex pressures. Risk of inflation, high interest rates and supply-demand imbalances are creating near term uncertainties. Delays in decision-making continue. Our strong large deal signings and pipeline will help support growth in the medium term. The recent deal with Liberty Global reinstates our positioning as a leader in partnering with clients to provide significant savings, as well as innovative ways to transform the landscape. EURS clients are taking a conservative approach to discretionary spend, and the trend is likely to continue through the year. In energy, spending remains cautious due to the economic slowdown, with focus on cost take-out and ROI. Utilities, especially in North America, continue to feel the press from high interest rates, resulting in delays in capital intensive programs. European utility players continue to make investments on legacy modernizations.  While the external environment continued to be volatile, the manufacturing sector continued to show double-digit growth year-on-year in Q2. Our capabilities in areas like digital transformation, cloud ERP, supply chain, smart factory, etc. are resonating well with clients, resulting in benefits, with vendor consolidation in turn leading to stronger deal signings. While pressure on discretionary spend continues, there are opportunities in areas like [indiscernible], transformation, cost consolidation, etc. which is resulting in a stronger pipeline. In the retail segment, budgets continue to remain tight as clients continue to focus on budget consolidation, cost and efficiency. Interest on gen-AI is growing and clients are evaluating our Topaz offerings to modernize their enterprise and re-factor, re-engineer and deploy code. While we had a very strong sequential growth in Q2, the underlying softness in volumes and discretionary spend continues. We have revised our revenue growth guidance for FY24 to 1% to 2.5% in constant currency terms. Our deal signings and strong pipeline lays the foundation for acceleration in growth beyond FY24. We retain our margin guidance band for the year at 20% at 22%.  With that, we can open up the call for questions.
Operator: Thank you very much. We will now begin the question and answer session. [Operator instructions] The first question is from the line of Bryan Bergin from Cowen. Please go ahead.
Bryan Bergin: Hi, good evening. Thank you.  I wanted to just start with the growth guidance reduction. I’m trying to understand if the reduction is more due to the delay of the large deal ramps versus what you had expected three months ago, or if it’s more due to incremental volume perhaps in other program efficiencies. 
Salil Parekh: Hi, thanks for the question. This is Salil.  I think it’s a combination of those points. There is--the way the large programs start off, there is delays in starting them. There was also--as we were assigning these deals, the cycle was a bit longer in closing them, so that had a bit of slowness, and we are seeing discretionary spend which is coming down, and we saw that continuing on--transformation programs being slowed, that continuing on in this quarter, so it was a combination of those projects.
Bryan Bergin: Okay, appreciate the color. Then just on margin, Nilanjan, understanding you have the wage increment that you just announced here, but you also have margin tailwinds through Project Maximus, so can you give us some color on where you’re finding comfort within the margin range that you’re referring to here today? I know you’re right at the midpoint here to the first half. Do you expect to be above or below that as you go through the second half?
Nilanjan Roy: Yes, so like I said, we had a good quarter two, and then as I explained in my margin walk, we had a 50 basis point improvement from our Project Maximus on cost optimizations, and that gives us comfort for the rest of the year, and that the program is--of course this is a much longer program, which will take not only this year but into next year as well.  We also realized that we have apparent inefficiencies - our utilization is still low, so [indiscernible] help us and of course offset the wage hikes, etc. We have a good program over the next 18 months to see where we end up, and of course our aspirations continue to be to improve margins from where we are presently. 
Bryan Bergin: Thank you.
Operator: Thank you. The next question is from the line of Kawaljeet Saluja from Kotak. Please go ahead.
Kawaljeet Saluja: Hi, thank you. I have a couple of questions. My first question is can you quantify the revenue of one-timers, and are these revenue one-timers in third party items bought for service delivery to clients or those are separate?
Nilanjan Roy: Kawaljeet, in the margin walk, we talked about a 40 basis point impact on margin from revenue one-timers, so it’s going to be around that figure or slightly more than that. These large deals will fall through straight to margins. What was the second part, Kawal?
Kawaljeet Saluja: The second part of the question is that can you detail other verticals to which the mega deals belong, and the other question related to the deals is that normally you expect the direction of revenue growth and deal wins to synchronize, whereas actually they are moving in the opposite direction, so what needs to change for the synchronization to happen again?
Salil Parekh: Yes, so Kawal, we don’t give out which segments the mega deals are falling under. The second part was you were saying, where will revenue and large deal announcements synchronize? Is that the question?
Kawaljeet Saluja: Yes, absolutely. I mean, they seem to be moving in different directions. With the $7.7 billion in regard to large deal wins, you would have expected a happier picture on growth outlook, whereas things seem to have changed there, so what needs to change for the synchronization of growth and all the deal wins and growth to happen?
Nilanjan Roy: Sure, so I think one is, of course, mega deals, as you know, post signing they have a runway in terms of [indiscernible], in some cases they may have re-badging, so that would take some time to have regulatory approval, so you can’t even do people transfer. Then of course there’s a transition period and then of course post-transition, then of course there is a transformation element [indiscernible], so these are all steps in the process and as you can imagine, being such large deals, these cannot overnight be turned on in terms of us taking over the entire landscape, etc. [indiscernible], and therefore it takes a couple of quarters really before they start leading into the revenue figure.  Like I said, this will set us up well for FY25 fundamentally, and as Salil said, in the near term, in the quarter there was of course the underlying volume sluggishness, and of course we have to recognize that part as we [indiscernible] for this year.
Kawaljeet Saluja: Okay. What’s the deal pipeline like after the recent conversion of pipeline into mega deals, so how does the pipeline look like? Is it significantly lighter, or does it stay remarkably strong?
Nilanjan Roy: It’s a strong pipeline, of course, at 7.7, and I think you can--it can’t be higher than the previous quarter but it’s a very strong pipeline, and of course we will continue to have enough in the funnel to start refilling this.
Kawaljeet Saluja: Just a final question on deals. I think the past experience of mega deals and the transition of that into profitability has not been very encouraging, but if I look at your comments and Salil’s comments, all of you have highlighted that your profitability aspiration is to improve your--you want to improve your profitability. Now at the same time, you have those mega deals as well, so how does the profitability dynamics play out, especially given the past context?
Nilanjan Roy: So Kawal, you know better than anybody else, when we set out the large deal strategy more than five years back, we were close to about 21% margins. We have signed probably $50 billion-plus in large deals and today we are 21%, 21.2%, so we have not seen any margin erosion because of the large deal strategy. We recognize overall the periods and this experience that we had. We will sign on these large deals. Of course, up front they will have margin pressures, and from a portfolio perspective as you look in the deal tenures, we have the experience to say how we can improve the margin of the deal from day one versus, say, in year five, and in a way, that’s the portfolio we are able to rotate, going at deals. At the same time, we’ve got cost optimization programs to make these deals [indiscernible] portfolio margins, and remember I said the proof in the pudding is in the eating - $50 billion of large deals later, our margins are where they were.
Kawaljeet Saluja: Okay, sure. Thanks a lot.
Operator: Thank you. The next question is from the line of Moshe Katri from Wedbush Securities. Please go ahead.
Moshe Katri: Thanks, and congrats on very strong TCB bookings for the quarter. We’re trying to figure out the conversion pace of some of those large deals that--I mean, I guess at this point, it seems that we haven’t seen a lot of that conversion happen, but when do we start seeing that reflected in better top line growth? Is the March quarter next year, it kind of could be the quarter when we could actually see better comps for top line growth because of those conversions? Is that the right way of looking at it?
Nilanjan Roy: Yes, so there are a number of deals in this pipeline, some will start in Q4, some which we signed last quarter have already started coming, a bit of that in 2Q, so it’s not like one day we suddenly have these 21 deals [indiscernible], so there are sales, and in terms of even ramp-ups, you will see it’s not that--you know, the run rate on the day of the revenue booking, some of them take a longer period, so it’s a combination of all that.
Moshe Katri: Okay, and do we--and these are--just to be clear, these are deals that are funded with the calendar ’23 budget, so you don’t need calendar ’24 budget to continue funding these deals, is that the right way of looking at it as well?
Salil Parekh: Sorry, can you repeat that? This is Salil - I couldn’t hear that, Moshe.
Moshe Katri: Yes, so the deals that you’ve won this year are funded with calendar ’23 budgets - I just want to confirm that, i.e. you don’t really need the approval of calendar ’24 budgets to continue funding these deals? Is that the right way of looking at it?
Nilanjan Roy: Yes, so they already come out of existing budgets, but many of these are actually cost take-out programs in this environment, right - vendor consolidation, cost take-outs, so actually we are giving money back, in a way, to the organization, which is why in a way we are winning these deals, right?
Moshe Katri: Yes, good. Then the final question, do you have any view - maybe Salil, you can talk about that - about the calendar ’24 budget cycle, that probably should start maybe by next month? Do we feel that the budget cycle is going to be on time? Do you think there’s going to be budget delays, which is what happened earlier this year? What are you seeing at this point based on some of the client conversations that you’re having? Thanks a lot.
Salil Parekh: Thanks - yes, this is Salil. The way we are seeing the client conversations today, we don’t see a change that’s come about. There is a lot of constraints with clients, whether it’s on transformation programs or discretionary projects, which are significantly reduced or slowed down, so that thinking is continuing on. As you pointed out, over the next few weeks, we will get a better sense if that’s changing, either improving or not for the following year, but at this stage, that’s the mindset we are seeing.  There is attention on cost and efficiency, which also continues as we are seeing in discussions, so the conversations that we’ve been having over the last few months is the same tone we see as they’re going to the end of the year for next year’s budgeting. We don’t see a change in that at this stage.
Moshe Katri: Understood, thank you.
Operator: Thank you. The next question is from the line of Kumar Rakesh from BNP Paribas. Please go ahead.
Kumar Rakesh: Hi, good evening. Thank you for taking my question. My first question, Salil, was--
Operator: May I ask you to speak up a bit? Your audio is a little low.
Kumar Rakesh: Yes, is this better now?
Operator: Yes, go ahead, please.
Kumar Rakesh: Thank you. Salil, my first question was around the volume performance during the quarter. You did talk about that it is under pressure, and last quarter also you had talked about it, so during the quarter, how was the volume performance you saw through the quarter? Was it further deteriorating since where we saw last quarter, and is your guidance implying that there will be further deterioration outside of the seasonality in the coming two quarters?
Salil Parekh: The volume specifics, I did share, I mentioned that there was continued constraints or pressure on that. What is happening, if you step back a little bit, is there’s impact on revenue which is from slowing or stopping of discretionary work and all the transformation programs, and then we have on the other hand with the large and mega deals, some of those starting up, that’s giving us benefit on the revenue side.  There, we saw the volume constrained from the first part of that in this quarter. In the coming quarters, you know that well, we will have in Q3 the usual seasonal impact with the end of the calendar year, holidays and so on, and typically for us, for Infosys, Q3 and Q4 are softer quarters in any case, so we anticipate that.  We don’t have a view which is different from that. That’s how we are looking at it going in. But these things are changing as we go through each quarter, so we were fortunate we delivered a very strong quarter, but we are just--as we look out, we can see the pressures with the clients, and that’s what gives us the reason to be watchful on both those sides.
Kumar Rakesh: Thanks for that. My second question was, during the press conference, you did talk about that Infosys is working on proprietary large language models, so clarification is, are these models that you’re working on Infosys-owned, or these are for clients or your ecosystem partners, and what kind of model use cases and data sets you are using for them?
Salil Parekh: There, was I was referring to was proprietary models from our partners. We are not developing a large language model of our own, we are working--as you know again, there are a large number of these models which are already in the market. Some of them are proprietary and some of them are open source. We are working with both types of those models.  Typically, we are working in what’s called the narrow transformer approach, which really we start to see data sets which are a little bit more enterprise-focused, which allow enterprise--a large client to take advantage of that data set for their own activity, and the applications--again, you’ve probably seen that, we are seeing applications on, of course, software development, on text, on voice, on video, so we are seeing applications today on all of these areas, actually working on all of these areas, and that is for the clients. Then, we are doing some work inside Infosys as well for our own--for our own activities. 
Kumar Rakesh: Got it, thanks. That’s very helpful.
Operator: Thank you. The next question is from the line of Sandeep Shah from Equirus Securities. Please go ahead.
Sandeep Shah: Yes, thanks for the opportunity. The first question is, Nilanjan, in your opening remarks, you mentioned that the mega deal wins and the first order book signing will help us to accelerate the growth in the--beyond FY24, but is it fair to say most of the deal wins of this year will have solid support in terms of the growth pick-up in FY25?
Nilanjan Roy: Yes, I mean, these will translate into revenue one day. Like I said, they will start in FY25, and like somebody else answered [indiscernible] one day they will start together, so they will have a run-up, but absolutely there are deals. Some of them start even sooner in FY24 towards [indiscernible]. 
Operator: Sandeep, is the question answered? Thank you, we’ll move to the next question. That is from the line of Nitin Padmanabhan from Investec. Please go ahead.
Nitin Padmanabhan: Yes, hi, good evening and thank you for the opportunity.  I had two questions. One is on the discretionary spend. Yesterday, I think [indiscernible] had mentioned that they don’t think discretionary spend recovery in 2024. Just wondered your thoughts on how are you thinking about this overall, and in the context of this, while we are seeing very strong deal wins this time around, and obviously those are deals that would have been under the hood for maybe the last 12 months which have all closed, when you look at it going forward, do you think that deal activity per se could sort of slow down? Is there a risk there, or if you could give some context in terms of pipeline versus how it was before these deals closed and how is it today, is there a lot of replenishment that needs to be done to reach back the same levels?  That’s the first question.
Salil Parekh: On the first part, we don’t have a view on financial year ’24 in terms of volume and so on. What we are sharing today is what we’ve seen, for example in Q2, and what we observed from that, keeping in mind some of the seasonality of this coming quarter and the end of our financial year.  On the pipeline or deal activity, as Nilanjan was sharing, we see a good pipeline. Of course, the deals we have closed have come off of the--come out of the pipeline, but it’s still a good pipeline for us. There’s a lot of interest from clients in cost and efficiency and automation, which is where many of these large and mega deals have come in. There’s a good interest in consolidation, which is where some of those deals have come in, and we continue to gain market share in that, so we feel good about it. There is that continuing interest in that type of work.
Nitin Padmanabhan: Sure. The second question was the underlying assumption on the guidance, if I understand right, is that the revenue accretion from these large deals will be very miniscule this year, and you have headwinds on the discretionary side. The bigger accretion should really happen maybe next year, so this year is very miniscule, that’s a really fair assumption?
Nilanjan Roy: Yes, so I mean the definition of miniscule can be quite different, but yes--I mean, it’s largely in FY25, absolutely.
Nitin Padmanabhan: Yes, so I meant on a quarterly run rate basis, would it be miniscule of that coming into the revenue versus what you originally thought? That was the question.
Nilanjan Roy: Yes.
Nitin Padmanabhan: Sure, fair enough. Lastly, in terms of the headwinds on discretionary, which verticals really stand out in terms of where you are seeing the maximum pressure? That’s the last question, thank you.
Nilanjan Roy: Yes, I think as we mentioned, the three verticals, I think you can see it both sequentially, you can see it year-on-year, you can see it with the peer group, it is financial services, it’s mortgages, it’s asset management, it’s [indiscernible] retail, it’s communication, and I don’t think we are any different from any of our peers. I think everybody is calling out these three verticals as being soft.
Nitin Padmanabhan: Sure, fair enough. Thank you so much, and all the very best.
Operator: Thank you. The next question is from the line of Vibhor Singhal from Nuvama Equities. Please go ahead.
Vibhor Singhal: Yes, hi. Thanks for taking my question. Starting off, just a few questions from my side. We started the year with guidance of 47% for [indiscernible], so does--I mean, in the last call, this call you had mentioned that maybe in the first guidance, there was only one [indiscernible] which did not play out, and you had a fair bit of [indiscernible] guidance which you had given last time. So just want to understand that - I mean, we have been [indiscernible] good deals all along, especially in this quarter, and as you mentioned that [indiscernible], so what has changed from the time that you gave the first guidance to this time in terms of what was it that we have--that we are already [indiscernible]. Is that [indiscernible] part of that which is being put on hold much larger than anticipated? Is there any one single or a couple of large projects which have kind of stopped [indiscernible] the amount that we had expected? Anything on that color would be really helpful.
Salil Parekh: There is no one project or one specific client that is where this is coming from. I think as we look at each quarter, we look at the combination of the two streams on discretionary work and on digital transformation and other programs, how that’s slowing down, where it’s slowing down, what the volume implications are, and then we look at how the large and mega deals are coming into the revenue stream. That’s what’s leading us--as we look out, when we see changes in the discretionary work or we see some slowing down of decision making for closing deals or slowing down in the start or ramp-up, those are the factors that come into play as we look at the revenue outlook. Then as we come into this time of the year especially, we look at the seasonality in Q3 and Q4, and our thinking is in the client buying environment, so that’s really the combination of things that we do. There’s not any one activity which has led to that change for us.
Vibhor Singhal: Got it. Any specific pockets of weakness that you have seen [indiscernible] much harder rate than anticipated? It could be maybe vertical [indiscernible] or maybe a specific domain, let’s say cloud adoption or any of those domains? How it is across the board?
Salil Parekh: The way we see in terms of industries, we have a similar sort of view from last quarter, the ones that Nilanjan outlined within financial services, mortgages, asset management, if you look at high tech, telco, some parts of retail, so those are the ones. We have not seen any sort of dramatic changes in that, but those are the ones where we see the impact.
Vibhor Singhal: Got it, sure. Thank you so much for the opportunity, and wish you all the best.
Operator: Thank you. The next question is from the line of Ashwin Mehta from Ambit Capital Private Limited. Please go ahead.
Ashwin Mehta: Yes, thanks for the opportunity. Nilanjan, just one question in terms of the third party bought out items - that seems to have added almost $75 million-odd this quarter, so do you see this item sustaining or it kind of falls off, and is this one of the reasons for your weak guidance?
Nilanjan Roy: Yes, so like I said, this is sometimes integral to our strategy as well, because we are doing large scale transformations and sometimes they have elements of licenses of software/hardware inside, and therefore our guidance takes into account both volumes and any impact of--you know, any of that kind of--the portfolio [indiscernible] headcount portfolio as well. 
Ashwin Mehta: Okay, okay. In terms of wage hikes next quarter, what is the impact on margins that you see, or the quantum of wage hikes that you are giving out?
Nilanjan Roy: We have rolled it out. We cannot say what is going to be the impact, but like we said, it’s effective November 1.
Ashwin Mehta: Okay, fair enough. All the best.
Operator: Thank you. The next question is from the line of Gaurav Rateria from Morgan Stanley. Please go ahead.
Gaurav Rateria: Hi, thanks for taking my questions. The first one is that does your guidance factor in the current environment remaining similar in the next two quarters, or it kind of further deteriorates from here, because it’s kind of implying a decline sequentially over the next two quarters, so just trying to understand what’s the underlying assumption on the current environment. 
Salil Parekh: I think the way we’re looking at the guidance is typically Q3 and Q4 are seasonally weaker quarters, so that is something we factored in, in addition to what I was sharing earlier, the slowing of discretionary transformation, and with the larger mega deals, seeing how the ramp-up will look like as it converts, but we looked at more of what we see seasonally a weaker Q3 and Q4 from our historical perspective.
Gaurav Rateria: All right. Secondly, you closed a couple of mega deals in the last few months. Now when you look at your large deal pipeline, how do you characterize this? Do you still have mega deals that you are pursuing which can close in the coming months?
Salil Parekh: There, we’ve closed four of these mega deals that I referenced earlier. We have a good pipeline, we are not detailing beyond that the type of deals. What we see is the deals that we have closed have come off, but there is a huge appetite with clients for cost and efficiency, and those tend to be larger within even our large deals pipeline, so yes, we will see some of those larger deals going ahead.
Gaurav Rateria: Got it. Last question to Nilanjan, the Project Maximus that you talked about, is it fair to say that the full benefit would accrue to the company in fiscal ’25, and it just started to kind of trickle into the numbers in recent quarter but the full benefit will accrue in FY25?
Nilanjan Roy: Like I said, there’s a very complex program, there are a number of tracks, so we have new ideas as we see each quarter. You will see an impact over, like I said, maybe 18 months of this program and throughout as we’re tracking it every quarter, and like I said, sometimes we will see a faster benefit, like utilization, for instance, is clearly something which is here and now, so you will see some of that impact even faster, but some of course take longer to materialize.
Gaurav Rateria: Thank you.
Operator: Thank you. The next question is from the line of Keith from BMO. Please go ahead.
Keith Bachman: Thank you very much. This is Keith Bachman from Bank of Montreal.  The first question I have is you’ve mentioned a few times--
Operator: Sorry to interrupt, but your voice is a little bit muffled. Can I request you to use the handset more closer to you?
Keith Bachman: Yes, absolutely. You’ve mentioned a few times that discretionary spend or discretionary projects are a reason for the revenue guidance and reporting. Can you tell us what percent of your revenues would you characterize as being sourced from discretionary areas? Is it 30% of total revenue, 40% of total revenues? Any rough estimate you could give us on how much of your revenues are generated from discretionary sources?
Nilanjan Roy: Yes, so we don’t really give that number out in the public domain, so I think that’s where we are. Of course, generally they are fixed price projects, they are more committed. The [indiscernible] side of the house will have a bit of variability into it, but we don’t give the discretionary really.
Keith Bachman: Okay. The 7.7--the second question is the 7.7 large deal TCB, within that number, do the clients have the ability to cancel those contracts, and what is--if it’s yes, what’s the cancellation rate been over the last few quarters versus historic norms?
Salil Parekh: These are largely signed contracts. They take time to ramp up, so we have not seen any real cancellations, really. They may take longer to ramp up than originally [indiscernible], but there are no cancellations, really.
Keith Bachman: Okay, fair enough. Perfect. Then my last question is as you think of--Infosys and TCS and Accenture and other IT services organizations are experiencing challenges with growth, so it’s an industry-wide issue. Against that backdrop when you think about pricing that your clients are willing to accept, have you seen any changes in like-for-like pricing when you’re negotiating with clients for large deals or otherwise? Has that changed at all, or has the like-for-like pricing remained fairly steady even in this weak macro backdrop?
Nilanjan Roy: Yes, I think you’re right. I think largely it’s been stable. Of course, in some quarters you can see a few clients are coming back and asking for discounts, but I think overall, even if I look back, it has been--you know, in terms of the annual renewals, etc., I think pricing has been more stable over the last year or two years as a general trend, I would think in the industry. Of course, deals would be--it gets competed hard, but overall I don’t see a deteriorating pricing environment.
Keith Bachman: Okay, that’s it for me. Many thanks. Cheers.
Operator: Thank you. The next question is from the line of Yogesh Aggarwal from HSBC. Please go ahead.
Yogesh Aggarwal: Yes, hi guys. Just one question on large deals, which have been extraordinary, almost two, three times of your past run rate. Was curious what is the share of large deals from existing customers versus new? Can you just give some context there?
Salil Parekh: So there again, we shared the net new amount, which is 48%, but we don’t share what is from new clients versus not new clients.
Yogesh Aggarwal: Okay, so the reason I’m asking is, it’s very intriguing that clients are not spending on small discretionary projects but are wanting such mega contracts, so is it possible since this year, everyone is cautious, they are just scrubbing a lot of smaller projects and avoiding in larger deals, which means next year, even if effective, they have two years of catch-up on discretionary spend?
Salil Parekh: Some of these deals have been publicly announced. These large programs are a combination of, many times, cost or efficiency, automation programs, and sometimes the programs which take all of that, let’s say the saving that the client is likely to accrue, and from that fund some transformation programs. These don’t appear from our interactions to be a consolidation of smaller discretionary work, these are large independent programs, and that’s why we feel, first, that in that space, which is today really more active, this cost efficiency space, we seem to be gaining market share, and that those, with the way they’re being set up and what we see, give us a good foundation for our future.
Yogesh Aggarwal: Fair enough. Thank you so much.
Operator: Thank you. The next question is from the line of Vivek Gedda from SBI Mutual Fund. Please go ahead.
Vivek Gedda: Hi. Thanks a lot for the opportunity. Salil, in fact based on your comments that you just made, I just wanted to get a sense of the market share gains that you have been talking about currently [indiscernible]. Could you give us a sense of how these market share gains have been [indiscernible]? Are you seeing [indiscernible] out there and how are you thinking of it?
Salil Parekh: There, we are seeing more discussions on cost or consolidation, and when for example you have a win as we’ve had over the last few quarters and consolidation of partners with a client, there is a significant change that changes the market dynamic within that client, and then we put all of these things together between some of the large programs you run on cost efficiency and then on consolidation, it looks like we seem to be gaining traction. We have a very good capability set on automation and clients are appreciating that, so that seems to be the reason why we believe or we think that it looks like we’re gaining market share in those areas.
Vivek Gedda: Is there a way to think about [indiscernible] to quantify from the sense that are you seeing that client budgets are actually not [indiscernible] while you potentially are--you potentially have many more deals versus what your peer set’s are?
Salil Parekh: Difficult for us to say on a sort of macro level, but I think generally speaking, the client budgets, at least, we don’t see those increasing at this stage.
Vivek Gedda: Got that. Secondly, I also want to get a sense of the [indiscernible] some of these large deals that you’ve won, and maybe context of how it has been historically, so while there have been [indiscernible], actually it’s probably logical to expect that we will have long tenure deals, but if you can give us a sense of how ACB growth has been versus [indiscernible] growth.
Salil Parekh: So there, some of them, with the disclosures we have done, have that information, but we don’t generally speaking share that information for the aggregate, and thirdly not vis-à-vis what was going on in the past. But for the specific ones where we’ve had the disclosures, we’ve shared that information.
Vivek Gedda: Got that. Just lastly from my side, I just wanted to also get a sense on these third party items, almost increased by $25 million. [Indiscernible] we called out that one-time revenue [indiscernible] which is lately less than what we figured. Is that different items, and how to think about that? 
Nilanjan Roy: Absolutely, they are different items, and in [indiscernible] the margin walk, I also talked about the one-time having a positive impact and the license sales, etc. having a--third party costs having a downward impact on margins. They are different.
Vivek Gedda: Got it, thanks a lot.
Operator: Thank you. The next question is from the line of Abhishek Kumar from JM Financial. Please go ahead.
Abhishek Kumar: Yes, hi. Good evening. Thanks for taking my question. I was also trying to reconstruct this quarter’s growth. It seems to me there was a volume decline, just going by the headcount decline and small increase in the utilization, so is it the realization which has helped us or some of the one-time which you mentioned, and [indiscernible] this question was also, or is that some of the smaller deals, like the less than $50 million which you don’t disclose, the uptick on those deals or kind of inflow of those deals has kind of dried up significantly, which is basically resulting in mega deals needed to kind of sustain the volume growth?
Salil Parekh: In my opening remarks, I said we are continuing to see softness in the underlying volumes, and the revenue for the quarter was supported by stronger growth in the balanced portfolio and improved realization from one-timers.
Abhishek Kumar: Okay, so my question also was while I know we don’t give the numbers out, but the contribution of the less than $50 million deals in our revenue contribution or pipeline, how has that changed? The reason why I’m asking is it seems that without the mega deal or large deal ramping up, there is sustained pressure on margins, and with deals bigger, it’s a bit difficult to define when really these deals will ramp up, so in the absence of that, the contribution of smaller deals, has that really kind of changed as a proportion of revenue over the last few quarters?
Nilanjan Roy: We don’t give out this information.
Abhishek Kumar: Sure, okay. Thanks to you, and all the best. 
Operator: Thank you. The next question is from the line of Apurva Prasad HDFC Securities. Please go ahead.
Apurva Prasad: Thanks for taking my question. Salil, I have a question on the headcount, which how should we really think about that progressing over the next few quarters. It’s been down 5% over the past three quarters with utilizations that have been flat, so how should we expect that to play?
Salil Parekh: Yes, so you have to triangulate across volume, attrition, new hiring and utilization. I mean, the broad message is that even with the utilization increase today to 81.8, we still have headroom to improve the utilization further, so that should give you a sense of things to come. Of course, we continue to monitor overall volumes, etc., so there is enough headroom and this is helping us in margins, like I said at the beginning, right, which is a margin lever which can you use. 
Apurva Prasad: Right, [indiscernible]. Secondly, any vertical call-out in the one-timer and revenue that [indiscernible] earlier?
Salil Parekh: No.
Nilanjan Roy: Apurva, do you have any other questions?
Operator: Apurva, your line is muted, I guess. Do you have any other follow-up questions? There seems to be no response from the line participants. Ladies and gentlemen, that would be our last question for today. I now hand the conference back to the management for their closing remarks. Thank you, and over to you.
Salil Parekh: Thanks everyone - this is Salil. Thank you for all your questions and the interactions. I just want to close on a few points. First, we had an incredible quarter in large and mega deals, really, with $7.7 billion, the largest we’ve seen in the company for a quarter, and this gives us a good foundation for the future. The quarter itself was great in terms of sequential growth and operating margin. We’ve got a comprehensive program on margin expansion which is in place with several large components and tracks running across the company, and we continue to invest in generative AI, where we’re making great connects with clients, especially leveraging Topaz. Those really are the main points from us. Thanks very much again for joining in for the call.
Operator: Thank you very much, members of management. Ladies and gentlemen, on behalf of Infosys, that concludes this conference. Thank you all for joining us, and you may now disconnect your lines.